Operator: Good morning. My name is Sean, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Keyera Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Lavonne Zdunich, Director of Investor Relations. Please go ahead.
Lavonne Zdunich: Thank you, and good morning. It's my pleasure to welcome you to Keyera's 2016 third quarter conference call. With me are David Smith, President and CEO; Steven Kroeker, Senior Vice President and CFO; Bradley Lock, Senior Vice President of our Gathering and Processing Business Units; and Dean Setoguchi, Senior Vice President of our Liquids Business Unit. In a moment, David will provide an overview of the quarter, followed by business updates from Brad and Dean. Steven will provide additional information about our financial results. We will then open the call for questions. Before we begin, I would like to remind listeners that some of the comments and answers that we will be providing today address future events. These forward-looking statements are given as of today's date and reflect events or outcomes that management currently expects to occur, based on their belief about the relevant material factors as well as our understanding of the business and the environment in which we operate. Because forward looking statements address future events and outcomes, they necessarily involve risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties include general economic, market and business conditions, fluctuations in supply demand inventory level and pricing of natural gas , natural gas liquids, iso-octane and crude oil; the activities of producers and other industry players; our operating and other costs; the availability and costs of materials, equipment, labor and other services essential for our capital projects; contractor performance; counterparty risk; governmental and regulatory actions or delays; competition for among other things; business opportunities and capital; and other risks as are more fully set out in our publicly-filed disclosure documents available on our website and SEDAR. We encourage you to review the MD&A which can be found in our 2016 third quarter report that we published yesterday and is available on both our website and on SEDAR. With that, I'll turn it over to David Smith, our President and CEO.
David Smith: Thank you, Lavonne, and good morning, everyone. Last two years have been challenging for the energy industry. While Keyera is not immune to these challenges, I'm very pleased with how we've been able to apply our expertise, work with our customers, reduce operating costs and leverage our assets in order to continue to deliver stable financial results. Our gathering and processing and liquids infrastructure segments both generated increased cash flow quarter-over-quarter and year-over-year. This demonstrates the value we have built through our strategically located and interconnected network of midstream assets, our efficient cost structure and our disciplined to capital investment strategy. Our marketing segment results for the quarter were lower than last year, primarily due to lower iso-octane margins, and lower iso-octane sales volumes due to the turnaround at Alberta Envirofuels. The turnaround which involves over 250,000 man hours of work was completed without any major safety incident. Although it lasted longer than expected, we were still able to complete the project on budget. Overall for the quarter Keyera's adjusted EBITDA was $148 million and distributable cash flow was $101 million or $0.55 per share. Keyera maintains one of the lowest payout ratios in the Canadian midstream peer group, and 71% for the quarter and 57% year-to-date. Steven will provide more details on our financial results later in the call. We continue to take steps to strengthen our competitive position and to be well positioned as and when the industry recovers. We have reduced operating costs in a meaningful manner and we are working with customers to develop midstream solutions for the industry, it would expand capacity and lower costs. We continue to look for the right acquisitions to enhance our asset portfolio, and during the quarter we completed the acquisition of an additional 35% interest in the Alder Flats gas plant. We've also been advancing our plans to enhance the capabilities of our terminal at all Texas which Dean will talk about more later -- talk about more later in the call. With that I'll pass it over to Brad to discuss our gathering and processing business unit.
Bradley Lock: Thanks, David. The gathering and processing business unit reported a strong quarter with an operating margin of $72 million. Gross processing throughput average 1.37 BCF per day for the quarter, 4% decrease compared to the second quarter of 2016 as a result of continued low drilling activity in Alberta. Despite the reduction in gross processing throughput, third quarter financial results remain stable due to producer commitment in certain facilities along with the contribution from investments in expanded service offerings, such as sale of ethane associated with Keyera's investment in the Rimbey turbo expander. During the quarter, we completed the maintenance turnaround at the Nordegg River gas plant and for 2017 we have scheduled turnaround at the Simonette and Gilby gas plants. Simonette is larger of the two turnarounds and is expect to last approximately three weeks beginning next year. We recognized that this is a challenging time for our customers and continue to work with them to deliver cost-effective and value-added services to enhance their economics while maximizing throughput that gears gathering and processing facilities. In 2016, we have made an additional effort to reduce operating costs at many of our gas plants. This initiative has resulted in a 13% reduction in operating costs year-to-date compared to the prior year. Since most of operating costs flow through to our customers these savings are helping improving their net backs. Looking ahead we continue to look for the right opportunities to grow our gathering and processing business. In August we acquired an additional 35% ownership interest in the Alder Flats gas plant and its associated gathering pipelines. We now have a 70% ownership interest in this fully utilized facility and are looking forward to expanding the capacity with our partner of this plant with our partner Bellatrix Exploration Limited. Phase 2 is currently in the detailed engineering stage and is expected to be on stream in the first half of 2018 based on the current schedule. We're also continuing to advance the proposed Wapiti gas plant complex at south of Grand Prairie. This project along with our existing Wapiti pipeline and Simonette gas plant represent an exciting opportunity for Keyera to increase its position in this prolific geological area of the Western Canada Sedimentary Basin. We continue to advance the front end engineering design work and expect to have a detailed cost estimate by yearend on the entire complex. Once this estimate is completed a sanctioning decision could be made by Keyera or the customer underpinning this project, depending on the timing of the final investment decision operations of the first phase could begin by 2019. I will now turn it over to Dean to discuss the liquids business unit.
Dean Setoguchi: Thanks Brad. I'm pleased to report that the liquids infrastructure segment reported record results generating $53 million of operating margin in the third quarter of 2016, 13% higher than the same period in 2015. This segment continues to add value as we can completes our capital projects and bring them online. Our new 35,000 barrel per day fractionator that start up in June operate smoothly during the quarter and is working well with Keyera's Josephburg rail terminal for propane egress out of Alberta. Utilization of our condensate network and storage caverns has been growing and we continue to expand on these assets. During the quarter we continued washing the 14th and 15th caverns at Fort Saskatchewan. And we completed drilling the wells for the 16th and 17th caverns. The next phase of our underground storage expansion program will expand the 12.5 million barrels of capacity we currently have to meet the needs of our customers. Keyera's condensate network is the most connected hub in Western Canada and we continue to develop assets like 460,000 barrel condensate tanks in Edmonton to provide our customers with the most flexibility and reliability. We also have two major Diluent pipeline projects on the go; the Norway pipeline which is a joint venture with Enbridge and the South Grand Rapids pipeline, which is a joint venture with TransCanada and Brion energy. These pipelines are scheduled to be completed in the second half of 2017 and costs are trending lower than budget. Another major joint venture projects the baseline, the baseline tank terminal crude oil storage facility with Kinder Morgan is approximately one third complete and the first set of tanks are expected to be ready for commercial use in early 2018. Our new fractionation capacity at Fort Saskatchewan has been running well however NGL throughput volumes and fractionation fees have been lower than anticipated due to the reduced level of natural gas drilling. Keyera takes a long-term view of our business and we continue to look for opportunities to add value to the liquids business unit. We continue to work on midstream solutions that will make our customers and industry more competitive. As David mentioned were pleased with arrangements we reached to connect the pipeline we acquired earlier this year from our Hull terminal at Texas into third-party restructuring in the Mont Belvieu area. For the commercial arrangements we negotiated with this pipeline connections we’re very optimistic about our ability to enhance our commercial business in the United States. With respect to marketing, the segment reported an operating margin of $33 million excluding unrealized losses. This was less than the same quarter last year primarily due to a lower contribution from iso-octane as a result of the scheduled four year turnaround at AEF combined with lower iso-octane margins. Despite a strong summer driving season, iso-octane margins remain compressed in the third quarter as gasoline inventories across North America remained high to a large amount of imports that added to a very strong refinery production runs. Iso-octane margins have return to more normalized levels comparable to the 2014 after very strong year in 2015. Steven will discuss Keyera’s financial results in more detail. Steve?
Steven Kroeker: Thanks Dean. As mentioned earlier we are pleased with our third-quarter results as Keyera is well positioned integrated network of midstream assets and prudent capital investments continued to deliver steady results in a challenging environment. Both the gathering and processing business units and liquids infrastructure segment reported strong results. Despite continued low commodity prices and lower throughput in our gathering and processing assets. Adjusted EBITDA for the third quarter was a $148 million compared to the record $188 million reported in the same quarter last year. Although we are generating new cash flow from completed capital projects and are experiencing continued growth in the liquids infrastructure segment but this only partially offset the lower contribution from our marketing segment as described by Dean. Despite the lower contribution from iso-octane in the third quarter compared to a very strong performance in the third quarter of 2015 iso-octane remains a significant contributor to marketing's results. On a year-to-date basis adjusted EBITDA was $452 million versus $529 million last year both net income and distributable cash flow were virtually unchanged on a year-to-date basis compared to 2015 at $182 million and $356 million respectively. Despite the significant turnaround at AEF and lower marketing contribution during 2016 distributable cash flow per share was $2 year-to-date. Our growth capital program remains on track and we still expect to invest approximately $600 million in 2016. Based on current plans we expect our growth capital investment in 2017 to range between $500 million and $600 million. This investment will focus primarily on the liquids infrastructure projects already in progress such as the Norlite and South Grand Rapids pipeline, the baseline tank terminal, for condensate tanks at Evington and underground storage caverns at KFS. Capital cost for most of these products are trending lower than our original estimates. Maintenance capital for 2017 is expected to range between $30 and $35 million includes $14 million for the scheduled turnaround at Simonette and Gilby. Cash taxes for 2017 are expected to range between $5 million and $10 million this is less than the $15 million to $25 million we expect this year due to increased capital costs allowance deductions related to several major capital projects that became available for use in 2016. At the end of the third quarter our net debt EBITDA ratio was just under 2.5 times compared to our strict as bank covenant of four times. The strong balance sheet, low payout ratio and access to capital we're well-positioned to fund our ongoing capital program and to pursue acquisition opportunities as they may arise. In addition our drip programs generate approximately $45 million in equity proceeds each quarter. That concludes my remarks David back to you.
David Smith: Thanks Steven. Keyera has a track record of delivering above-average returns and creating shareholder value even during challenging times in our industry. While we are confident in our strategy in future, we expect to continue to face pressures on throughput volumes, fees and revenues until industry activity levels recover. To-date we believe we have been able to effectively manage these challenges for the benefit of our customers and our shareholders. During the quarter we increase our dividend for the 15th consecutive times since going public in 2003. This is the track record that we are very proud of. I am confident that we are doing the right things to whether this low commodity price environment addition ourselves to create long-term growth and value for shareholders as the industry recovers. On behalf of Keyera's directors and management team, I would like to thank our employees, customers, shareholders and other stakeholders for their ongoing support. With that I’ll turn it back over to the operator. Please go ahead with questions.
Operator: [Operator instructions] And your first question comes from the line of Linda Ezergailis with TD Securities. Your line is now open.
Linda Ezergailis: Great, thank you. I’m wondering with respect to your fractionation capacity, can you give us a sense of I think to stabilize or might there be more rolling off or further reductions in your volumes there and can you give us a sense as well as of how much fees have changed versus prior periods and again if you're to use about stabilize or how that might trend going forward?
Dean Setoguchi: Linda its Dean Setoguchi. We have a portion of our fractionation that's under long-term contracts and that's mainly associated with the second fractionated that we just built, the 35,000 in capacity that we just added at Fort Saskatchewan. But we do have a portion of our capacity there that's not under long-term contracts and typically those are renewed on a year-to-year basis. Typically it starts in April. So it remains to be seen what happens in 2017 under the next contract and what those fees are but just given that we've added more capacity -- fractionation capacity and some of our competitors have added a significant amount of capacity to an overall the basin, I would say the C3 plus volumes haven't increase materially. We have a situation now where there is a lot of extra capacity out there and then the laws of supply and demand start to come into play in terms of where rates go.
Linda Ezergailis: Okay. That’s helpful context. And with respect and as there may be more of a detailed micro question. I haven’t seen anywhere guidance for 2016 maintenance capital and what Q4 might look like?
Steven Kroeker: Yes, its Steven Kroeker here. Yes, if you take the guidance from earlier in the year and take off probably about $12 million for the Nevis turnaround that we deferred to another year that we should get you in the range -- or that should get under 70 I believe on a total basis there. In terms of Q4 we're expecting probably about another $20 million of maintenance capital related to the AEF turnaround.
Linda Ezergailis: Just related to AEF turnaround.
Steven Kroeker: Yes which is the primary topic or subject in Q4.
Linda Ezergailis: Okay. And may be just a bigger picture question on for your commercial discussions with your customers some of the facility volume changes were because of, maybe several factors and I’m just wondering if you can give us a sense of how much would it be related to kind of lower drilling activity and actual production volume versus maybe the TransCanada pipeline restrictions or maybe producers diverting to other plans?
Bradley Lock: Hi Linda this is Brad. I think, we see some of the decline real-world as a combination of those factors, but I would the majority impact is just as a result of the natural declines with the reduced drilling activity to create the back fill. The TransCanada curtailments I think have been more significant this year, but producers have done a better job of firming up their capacity. So, consequently the impact of those curtailments is less dramatic for both ourselves and our producer customers to go with it. And I think certainly through Q2 when you saw the very soft natural gas prices, there was a number of producers that actually curtailed their productions and shut in production as at the prices that were being charged that just couldn’t make a go. A lot of that has come back on but there's still some of it that remain shut in today.
Linda Ezergailis: That’s great. Thank you. I’ll jump back in the queue.
Operator: Your next question comes from the line of David Noseworthy with Macquarie Capital. Your line is now open.
David Noseworthy: Great, thank you very much. Maybe I could just start with the topic of the day, does the US Election and the potential changes in policy impact or change your approach to return all the rates or for acquisitions in U.S.?
David Smith: Thank you, David. I heard there were some other news this morning about traffic. I think it’s a good question, but I think it’s very early to be able to judge what the impact might be of any change in policy in the U.S. Certainly the opportunities that we're looking at, at whole are very much long-term trying to make sure that we make the kinds of investment that makes sense for us as an extension of the value chain that we have here in Canada. I don't really anticipate any significant policy change based on what we've heard. As a general comment I would say, I think the outlook is kind of mixed. The prospect for having better flow of our products into the U.S. under the new administration I think is a positive, but at the same time there is also been noises made about increased protectionism. So I think we just have to wait and see what actually happens over the course of the next few years.
David Noseworthy: Fair enough and maybe sticking with the M&A topic, are you seeing any differences in M&A opportunities in Canada versus U.S. in terms of quantity-quality evaluation.
David Smith: Well we’re looking at opportunities on both sides of the border, but as I've said before, I think our focus in the U.S. will likely be more on liquids infrastructure type assets, NGL terminal, storage, pipelines that thing. We like our own backyard when it comes to gathering and processing and so I think we'll continue to look for gathering and processing acquisition opportunities but more focused in Canada then in the U.S.
David Noseworthy: Okay. And then maybe just on your hull terminal now that you've secured access to Mont Belvieu what is the next logical piece of the puzzle for your U.S. footprint?
Bradley Lock: I think our initial focus right now David is just going to be getting that pipeline connected and commercially up and running so that we can generate some good returns from that those investments. We’re looking at a number of different types of opportunities more in the line of what David Smith just talked about. Again that's more like the terminals and pipelines and storage kind of businesses. So we're just trying to build an integrated asset base down there that we can, we can continue to generated good results from.
David Noseworthy: Okay. And just one last question on your growth CapEx guidance for 2017 can you give any split between that guidance, between growth capital that is committed versus stuff as yet to reach FID?
David Smith: The vast bulk of that would be committed projects so in the lower end of that range would be the approved projects are ready. The remainder would be for additional work we portably expect to see in price we see it some of our gas plants in Alberta, but the vast majority would be secured by that lower range.
David Noseworthy: Thanks for the color. Those were all my questions.
Operator: Your next question comes from the line of Rob Hope with Scotia Bank. Your line is now open.
Robert Hope: Yes, thank you. Maybe just continuing on in the growth capital theme, just thinking about the Wapiti plant, can you walk us through the key dates and timing that you think you need to see to get to a positive FID.
David Smith: I think right now we're focusing on the detailed engineering. That's progressing very well and that will allow us to get to good clarity on our cost and schedule for the projects. At that point, as we mentioned either Keyera or our partner have the right to sanction that project and we would expect that we're hopeful that that would happen early in 2017 but like I said we got to get through the engineering basis first before we get into that decision part. And in the success case there, that would drive us to completion probably in the first half of 2019 for commissioning and start up.
Robert Hope: All right, that's helpful. And just a follow-up on that, if the option to proceed is yours, would your partner's volumes be committed at that point under the commercial underpinning there?
David Smith: Yes that's the agreement that we have. There is slightly different terms, but essentially those volumes remain committed to our facility in either party sanctions the project.
Robert Hope: All right. And then just one clean-up question, just on the maintenance capital 2017 with two plants looks manageable but then looking at the 2018 just based on the normal turnaround schedule, you could have quite a number of plants coming up for turnaround there, is there an opportunity to continue to defer some outages like you did at Nevis this year?
David Smith: Yes we continue to look at each individual plant. We're fortunate that we've got a long history of operation in these facilities, so we have excellent understanding of the maintenance opportunities and the inspection deals and that allows us to make some really tangible good decisions on whether it makes sense to do the turnaround on schedule or whether to extend that and by how long. So we're going to continue to look at every single turnaround as it comes up and make a good safety based decision in terms of whether we execute on schedule or whether we look for the opportunity to defer.
Robert Hope: Thank you.
Operator: Your next question comes from the line of Ben Pham with BMO. Your line is now open.
Ben Pham: Okay. Thanks. Just going back to the Wapiti plants, does the FID does that from your perspective, does that impact the probability of that plant and was that included in your range of outcomes when you first acquired the site?
David Smith: I don’t think it changes our perspective as we've communicated to the producer community in the area, certainly in the success case there is opportunity and volumes to support both facilities and I think clearly we're both confident in the need for the infrastructure to grow. There's some differences between the facility that will produce one versus the other. And I think that might be why they're moving along the way they are, but ultimately I don’t think it changes the need for the incremental capacity for both of us.
Ben Pham: Okay. Great. And going back to Mont Belvieu and what are you doing down there for connectivity, do you guys think about that as more of a potential enhancing flows closer to home and from Fort Saskatchewan and does that perhaps in the future involve some incremental capital?
David Smith: Well certainly, we see it twofold, one is that we think it's an opportunity for our propane business and to have a market that we can move product there ratably year-round, some portion of it. And we have our Duisburg real terminal here in Fort Saskatchewan. So we already have the capacity to accommodate that already. On the haul side and pipeline that we acquired earlier this year, it's just a great markets for us to deliver product and to get into Mont Belvieu. And there is still what we find as some stranded product down in that Texas area and I guess we also real end products from across U.S. as well but it's guided product that needs to move by rail. We can move it into our terminal and now get it very efficiently into the markets and so we're talking about C3 plus butane, isobutane and propane. So we will also establish a U.S. to U.S. business, which we've already done already what is continuing to grow.
Ben Pham: Okay. Great and just a clean-up on the BOT project, just there is a modest change in the first tanks and service that such as more as you get closer to putting some things in it just some revisions and service dates?
Steven Kroeker: Yes it's little bit of that, I mean we had some rain, rainy conditions earlier this year, which probably change the schedule a little bit but it is a very big project in a congested area in Edmonton. So sometimes there might be slight delays in terms of getting things done in accordance with their schedule, but today we're back on track, we might be a little bit off by a couple of months from our original schedule, but we certainly believe we will have the first few tanks in service by early 2018.
Ben Pham: Okay, that's helpful. Thanks everybody.
Operator: Your next question comes from the line of Robert Catellier with CIBC World Markets. Your line is open.
Robert Catellier: Hi just want to get back to Wapiti for a second, would it be possible for you to do FID and take a little bit spec volume there, in other words if you reach your cost of capital returns with committed volumes are you willing to take a spec on the volumes that you need to get to your full targeted returns?
Steven Kroeker: I think there is a number of factors that would go into sanctioning a project like that. Like any other project typically we don’t require the plant to be fully contracted in order to drive us to go. What we want to see is a reasonable level of commitment and underpinning that gives us confidence in our ability to deliver the returns that our shareholders expect. And I think that will apply to the same to Wapiti, so we'll have to see how that plays out as we get through the FID or get through the completion of our detailed engineering.
David Smith: And Robert, it is David here. I will just chime in, I think that one of the factors that always influences that decision is how comfortably we are with the outlook for volumes that we don't necessarily have contracted in. I think we're very excited about the Wapiti area because of the geology that is there, it is some of the most attractive economics that the producers are seeing anywhere in Canada and secondly because there is the number of different producers that have attractive acreage, so those two factors I think give us a lot of confidence in the future there. But as Brad points out, that is a decision that we will take once we are little further down the road.
Robert Catellier: Okay, that is good context and then maybe you can give some additional color as to how you expect producer behavior to change around your facilities if the drop open season is successful?
David Smith: I think anything that can be done to enhance the economics of producers whether these reduced cost to get to East Coast markets or whether it be enhanced capacity in the Western Canada Sedimentary Basin will enhance drilling activity. So we're certainly hopeful that that leads to a positive response by producers but there's a lot of factors that go into them deciding whether or not to drill and in which regions.
Robert Catellier: So are they not talking about this generally have you not heard about intentions post the open season?
David Smith: I think it's -- certainly people are talking about it but I don't think anybody has made any commitments yet as far as what that means in terms of activity hide out plans.
Steven Kroeker: Nobody has said anything to offset at this point, Robert about what their intentions might be with respect to the TransCanada open season. Let me add I think we spend a lot of time trying to understand what the producer economics look like in Western Canada sedimentary basin and in particular zones like the Spirit River and the Montney and the Duvernay as they compare to other resource plays around North America. And we're very confident that the producer economics share compete very favorably with most of the resource plays that you hear about in the U.S. The one issue has been the cost of transportation to get it to market, so I think we are cautiously optimistic that if the producers are going to be seeing a significantly reduced toll on the TransCanada Mainline that will position the Western Canada sedimentary basin very favorably.
Robert Catellier: Okay. And then my final question I know it's early days but can you provide a bit more color on your long-term MD&A about the three major projects trending lower than budget give us some sense understanding this is still early and things can change, but as to how much they might be trending lower?
David Smith: I think it’s a little early for us to try and quantify that for you Robert. I guess, I would say stay tuned over the course of next couple quarters. We'll have a more firm idea. There may be in some minor cases, some changes that would affect that as well. Some additional investment and additional services but generally speaking were seeing the cost on all those projects trending lower than what we had thought even to go.
Robert Catellier: Okay. Fair enough. Thanks.
Operator: Your next question comes from the line of Patrick Kenny with National Bank Financial. Your line is now.
Patrick Kenny: Yes, good morning, guys. Just on the commentary in your release that drilling activity may increase in certain areas around your plants wondering if you can give us a bit more of a granular outlook for a couple of your core plans that have experience decline throughput so far to the downturn here [Rimbey] any other plants where you might expect to see a bit of a rebound?
Bradley Lock: I think we're encouraged by the, drilling potential behind those plants. The primary reason is the ability for producers to quickly turn drilling activity into production. So we've got a great network of infrastructure. We’ve got competitive fees. We've got access to capacity that would basically allow them to say once I actually choose to put money back into the drill bit, I need to do it in your place like to turn that into cash flow quickly and consequently our plans are very well positioned to do that So, we're certainly not out of the woods and you look at the drilling forecast and there’re certainly more positive for 2017 then they were -- then their forecasting of '16 but we're a long way from where the history has been but we think our plans that people are going to start to drill it's going to be in regions behind our plants because of their ability to get production out quick.
Patrick Kenny: Okay, thanks Brad. My next question is on rail believe it or not I know there hasn’t been a ton of activity for a while but, we're starting to see the heavy pipeline capacity, the takeaway capacity really fill up and even afford have all of the differential market has starting to wide note so, question is just on your Edmonton crude by rail terminal whether not, you might have the available capacity to move any heavy oil barrels next year, the market comes back for crude by rail.
Dean Setoguchi: Pat, its Dean. Our Alberta crude terminal is still under contract with the long-term contract under with Irving oil so, we do move volumes basically so exclusively with them through that period. If we wanted to try to use some of that capacity for another third-party we would have to renegotiate our agreement with them to comment that.
Patrick Kenny: And what about any unutilized rack space to store at Diluent terminal, given the declining imports of condensate are you able to maybe shift that operation to crude barrel at may be…
David Smith: Yes, absolutely we’re always looking at ways to utilize our capacity and I should mention to Ed that she can we have abilities to a rail out crude barrels from that facility as well and we certainly have room for expansion should the demand be there to an make investment like that.
Patrick Kenny: Okay, great. Last question for Steven here just on cash taxes appreciate the guidance for 2017 right certainly don't expected to, you give us guidance for 18 or beyond at this point but can you maybe give some color around cash taxes relative to your tax pool balance, if you are able to sustain tax pools in the say $2 billion range then is the, the $5 million to $10 million cash tax guidance decent run rate on that basis.
David Smith: Yes, I mean there is lot of fact as they go into cash taxes. We do get some visibility because of our ability to use our partnership structure and so previous year determined the tax in the future year, but generally speaking if we can keep our CCA pools up then generally we can continue to manage our cash taxes appropriately. As you come out of a go into more of a recovery mode then also you'll be using those pools a little bit faster, but overall if we continue to manage our CCA pools then you continue to manage appropriately those cash taxes.
Patrick Kenny: And just to be clear, there's no one time cash tax deduction or shield that's coming in 2017 it's all just related to the base pools?
Steven Kroeker: Yes, this is the base pools. We got the frac came into available for used in '16, the frac expansion that was the main additional capital came into '16 for available for use. That was the high rate type of tax pool.
Patrick Kenny: Great, thanks Steven. That’s all I had.
Operator: Your next question comes from the line of Andrew Kuske with Credit Suisse. Your line is now open.
Andrew Kuske: Thank you. Good morning. I appreciate the commentary in the MD&A on the Alberta Envirofuels, but may be if could just get a little bit more color on what happened in the shuttle maintenance? Was this really plain vanilla, was a bit more difficult, less difficult and then maybe a little bit of color on the ramp rates, I know that maybe to some production now, but maybe some color around those things?
Dean Setoguchi: Sure. It’s Dean, Andrew. We schedule turnaround at the facility every four years and this year was a pretty significant maintenance turnaround and David and I run sites for days during the turnaround and we took a tour and essentially when opened up, all the different components of that facility you never know for sure what you're going to see and so on one of the components they just found some extra work that needed to be performed. And so of course while we have everything open in the facility down we’re undertake that work, so that we can operate it safely and reliably for the next four years. So it’s just things like that, that can be unexpected when you open the equipment out that, you can cause a delay like what we saw this year. Overall the project came in through on budget and we are back up and we are back up and running and we are running at full capacity today.
Andrew Kuske: And then could you provide any color just on the ramp rate from when you switched to started running again how did that go back to normal?
Dean Setoguchi: It takes basically a week to around backup only to the full production rates so, just around substantially over that period.
Andrew Kuske: Okay, thank you. There is also commentary in the MD&A on the top pipeline restrictions affecting the facilities anything less than what you’ve seen in the past and then impact standpoint but could you quantify the volume in the economic impact.
Dean Setoguchi: Andrew it’s really difficult to do that with any kind granularity, where that it really depends on the nature of the, of the gas and nature of the contract and what the plant is. As Brad described earlier what we can give you some notion of how the components of the volume impact quarter-over-quarter but for us to translate that into the financial impact is a bit challenging. One of things that I would point out is that when we report the volumes that just the throughput at the plant. It doesn't include the revenues that we get on the gathering systems it doesn't relate directly to the additional services that we would provide for instance at Rimbey with our turbo expander that we started up last year, we know are now producing - additional sources of cash flow so, number of factors at a each plant that go into that.
Andrew Kuske: Okay, that’s helpful. Thank you.
Operator: Your next question comes from the line of Robert Kwan with RBC Capital Markets. Your line is now open.
Robert Kwan: Great. Thank you. Good morning. If I can just come back to rail that on the condensate side and coming out of the second quarter you are expecting to balance market this quarter looks like you imported a bunch of Condi, just wondering what changed and probably more importantly just what’s outlook for the coming quarters on this business?
Dean Setoguchi: Robert, it's a Dean essentially what happens with our condensate and what we rail into our Alberta Diluent Terminal is that -- we basically look at some of the markets in the U.S like the Bakken and the Marcellus and we’re trying to find barrels that they really don't have a home and sometimes the best economic started is the Evington market and when they are will relevant Evington. And sometimes they have better markets to move those barrels either offshore or you know may be in the Chicago so, as those dynamic change we take advantage of those opportunities when they exist and when they don't, we don't really on product.
Robert Kwan: Okay, so effectively it sounds like it was more of a supply side in that basin versus any change in the demand side where we needed a bunch of extra barrels?
David Smith: Yes, today there is enough capacity, both with field and the pipes coming off coach and also southern light, but again sometimes the, you get market nuances where you might find some distracts product where you can rail it into Evington economically and make the numbers work.
Robert Kwan: Okay. Fair enough. May be just turning to gathering and processing, you had some commentary fellow but here's around with the change in commodity pricing potential for increased drilling activity. I guess as you just look at what’s happened over the past quarter, is there directional change in the nature of discussions are having with producers with respect to their drilling plans and ultimately bringing volumes into your gas plants?
David Smith: I would say that there is, there is a more positive outlook today when producers then there was maybe 3 to 6 months ago. Gas prices of stabilized a little bit oil prices, well they remain volatile its continue to show signs of strength to as producers start thinking about what their Q4 and Q1 next year drilling activity looks like, I would say there is a more positive tone right now then there was a legacy 3 to 6 months ago but I think there's still are still vary of the headwinds that are based in sustained pricing would be positive for everybody.
Robert Kwan: Okay.
David Smith: Yes, Robert its Dave here. I’ll add little bit of to that from my perspective because we made some comments in our remarks about that the impact on volumes that we've been seeing over the course of – last year. We have seen some signs of more of a more positive outlook, the if you look at the number of active drilling rigs in Western Canada. It's been steadily climbing since the spring and said that it’s still not at a level that was at last year at this time so, they're certainly signs of optimism out there you probably have seen announcements from companies like Precision and Savanna and others that indicate that there are more active. And so and when we talk to the producers a number of the balance sheets that are in better shape now in there and they are prepared to start to look at drilling up the, inventory of locations that they have around our plants so, there are signs of optimism out there. It just that we think it's appropriate to be little bit cautious until, until we actually seen a more positive sustained positive environment as Brad said.
Robert Kwan: Okay, understand and maybe last question if I can just think about funding and your leverage metrics some of that seasonal but the working capital surplus decline which I think push to the debt to EBITDA ratio a bit and just kind of wondering was there something unusual there and ultimately I guess what going is on the funding side as things when you look at capital plan for 2017, where are you feeling comfortable in this environment kind of operating recognize your well away from the covenant but typically use did on the conservative side managing that ratio?
David Smith: Yes, it’s a fair question Robert. I think historically we've talked about the 2.5 to 3 times range of net debt to EBITDA is sort of that kind of range that will be comfortable in it’s a situation whether where you're looking through a little bit to the EBITDA strength we should see in 2018 from Norlite and BTT and all those kind of things. So, we do want to be careful about how we, how we find to make sure we’re not, prematurely issuing equity etcetera but that being said we still want always make sure we have a prudent balance sheet that we do believe we have an ongoing capital program that requires continued funding. So we just continue to monitor the ranges in that sort of 2.5 to 3 range, but you might be able to get more towards that 3 range as you're looking forward to the EBITDA that's coming in '18 as well.
Robert Kwan: Okay. So historically I think that's generally been the range. So the general environment doesn't necessarily change or have you want to achieve to the lower end of the range, as you mentioned.
David Smith: We also see that if prices do stabilize and the value of NGLs increase then your working capital also gets deducted -- be deducted for our covenants and so that actually helps the covenants little bit too there. But the end of the day, we want to make sure we're nimble and prudent on our capital structure and we still think we're confident that we can fund with our various tools, the ongoing capital program and the acquisitions that we may see the appropriate acquisition.
Robert Kwan: Okay. That's great. Thank you.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of Ashok Dutta with Platts. Your line is now open.
Ashok Dutta: Hi good morning. Just wanted to go back to the Alberta crude terminal? So can I ask you what kind of volumes you moved in the last quarter please?
David Smith: We don’t disclose that. And again I would reiterate to you that we do have a long-term take or pay contract there that at a certain threshold we get paid that take or pay amount regardless of the amount of volume they get moved.
Ashok Dutta: Okay. But there will be some volumes were moved I would have thought?
David Smith: Sorry.
Ashok Dutta: Some volumes, were at least moved I would have thought?
David Smith: Yes absolutely, absolutely.
Ashok Dutta: Okay, okay. All right, that's all that I had to ask. Thanks.
Operator: And there are no further questions at this time. I will turn the conference back to the presenters.
Lavonne Zdunich: Thank you. This completes our 2016 third quarter conference call. If you have any other questions, please feel free to call the Investor Relations Group. Our contact information is in yesterday's release. Thank you for listening and participating and have a good day.
Operator: This concludes today's conference. You may now disconnect.